Kristian Tammela: Good morning to all, and welcome to Huhtamaki's Investor Call for Q3 2023 Results. My name is Kristian Tammela, VP of IR. Today, as usual, we will start with presentations by our President and CEO, Charles Héaulmé, followed by CFO Thomas Geust. And after that, we have time for questions. And with that, let's get started, and handing over to Charles.
Charles Héaulmé: Thank you, Kristian. Good morning to all of you, and thank you for joining us this morning for our Q3 2023 results, which we put under the banner of a good operational profitability in a challenging market. Let me start giving you a few highlights on an executive summary about what we mean with this good operational profitability in a challenging market. First of all, speaking about the business context, the market, where we see a market environment during Q3 which has improved slightly during this quarter compared to the first two quarters -- the first semester of the year 2023. At the same time, it's important to recognize that the inflation pressure continues to impact the consumption basically across categories and across geographies. In this context, our financial performance is, as I said, a good operational performance, particularly on the profitability side. The comparable net sales are declining 4%, which is reflecting soft volumes. But most importantly, and we will see it later, the lower support -- as expected, the lower support from the pricing as the pressure in the value chain has decreased. The second aspect is the profit and the profitability in euro terms and in comparable terms. So, when excluding the Russia divestment that we operated back at the end of Q3 last year, our EBIT -- adjusted EBIT improved slightly and we are delivering a solid adjusted EBIT margin at a level of 9.7% for the quarter. And this is in this context of continuing to execute our strategy and particularly with two streams, two aspects: one is cost; the other one is growth. So, what we mean with cost is we are since the beginning of the year telling you that we are taking actions, measures to improve our productivity in order to primarily offset the impact of inflation, but as well in order to make the company more competitive. And we are seeing in our results of Q3 that the actions that we have taken since the beginning of the year, which we commented already in Q1 and Q2, are starting to show effect. And this is visible in the P&L of the third quarter. Second aspect is the growth where our investments started in 2022 but as well completed in 2023 are starting as well to show effect. That's in particularly two examples. The egg packaging in the U.S., where we have started to produce commercially in our Hammond facility near Chicago. That was -- we started commercial production at the end of the third quarter. So, the volume is not significant in terms of impact on Q3. But it's important to know that we have started the commercial production, and now we are in the ramp-up phase of that factory. Second is the factory Alf, that some of you had the pleasure to visit during the month of September. In the factory of Alf, which is primarily dedicated to fiber lids production, we have now ramped up our production to what I would call a full utilization at this point in time and that is starting to be visible in our sales growth and in the value creation in terms of a profitable growth. That's for giving an executive summary before going now into more details. First of all on the Slide 4 about the Q3 sales, Q3 2023, where our comparable net sales growth decreased by 4%, as I said before. The reported net sales decreased 12%, but that's on the back of two main factors. One is the Russian divestment that is in terms of comparability affecting 2% -- or minus 2%, and this is the last quarter we are mentioning this because this was -- this divestment was completed in the end of Q3 2022. And as well, a significant negative impact from the currency with a minus 6% impact. So, comparable net sales growth, and I'll come back to more detail on the different categories, minus 4%. Year-to-date, next slide, Slide 5. The year-to-date, the divestment of Russia is the same, minus 2%. Currency has accelerated in Q3. So, year-to-date is only, if I may say, only minus 3%. And the comparable net sales decrease is 1% year-to-date over nine months. Now Slide 6, the breakdown of the comparable net sales growth for the quarter and year-to-date by segment. We see this minus 4% in Q3, which is a breaking down between Foodservice, minus 3%; North America, plus 1%; Flexible Packaging, minus 11%; and then Fiber Packaging, plus 4%. The minus 4% of comparable net sales growth, Q3, versus minus 1% year-to-date may look like a worsening of the situation. Actually this is not the case because it's only this minus 4% versus minus 1% is only related to the price comparability, where our sales are not anymore supported by higher pricing versus the comparable period 2022. The volume, on the contrary, are slightly improving while being still negative, linked to a relatively soft demand in most markets and categories. Looking at the profit and cash generation on the Slide 7. The adjusted EBIT margin reached 9.7% in the third quarter of 2023. We will see how it unfolds in the different categories and segments. The euro -- in euro terms, the adjusted EBIT was negatively impacted by, obviously, the softer volumes, as well as the negative currency impact and the divestment from the operations in Russia. When we exclude, when we bring this adjusted EBIT margin to comparable terms, then it increased versus Q3 2022. And as I said, EBIT margin is solid to strong at 9.7%. The EPS is impacted by tax -- the higher tax and higher financing cost. And the CapEx has increased, but it's more linked to the timing of projects completion during the year, particularly leading to the expansion of our capacity in fiber production that I mentioned at the beginning of the call in the U.S. and as well in Europe. Moving on to some more information and explanation segment by segment. Foodservice Europe-Asia-Oceania to start with, where we have a softer comparable net sales growth. At the same time, we have a solid profitability. The profitability is reaching 10.3%, which is very much comparable to last year. And it's as well year-to-date above 10% which is quite a remarkable performance in the context. The sales side, which I said, is softer, it's particularly softer in Asia where we are suffering on pricing and volume much more than in the other regions where actually the net sales have increased in Europe and Middle East, Africa. The profitability is supported by our productivity actions. It's supported as well by lower raw material prices, even though the raw material prices have to be taken in -- knowing that the paperboard is still -- in 2023, is still higher cost for us versus 2022. So, I mean in terms of comparability, the paperboard is typically a raw material where we have longer-term contracts and, therefore, the decline in raw material prices on the paperboard side will be most likely visible later on 2023. Next page, on North America, where we have a continued solid performance. And I would say continued solid performance, despite the consumption not being yet back at normal level. And it depends on categories. It's particularly the down trading aspect, where consumers are still quite away from the premium consumption on ice cream, for instance, as well as we see a reduction of consumption in the retail. However, on the Foodservice, the demand remains solid. It's remarkable to see the profitability we have in North America, both quarter and year-to-date. On the quarter, we are reaching 13% -- more than 13% adjusted EBIT margin compared to 11% a year ago, and year-to-date, 12% -- or 12.4% compared to 11.3%. So that's a remarkable level of profitability in North America. Flexibles, I'm now on Page 11. The performance has been improving in the quarter three versus the first semester of 2023. Overall, the demand for the Flexible Packaging across the world has softened slightly versus last year, versus the comparable period, but has improved when we compare to the first two quarter of the year 2023. So, basically, the message is evolution is exactly according to the expectations that we were having and indicating in the previous call three months ago. The net sales was impacted in terms of sales volume, particularly in India and Europe, but we see growth in Southeast Asia and Oceania. And as well, it's important to mention and underline that our margins are improving quite significantly, not at the level where we want it to be for -- in the future obviously, but that's a long-term journey to reach our 10% EBIT. We have increased in quarter three from 6% to 7% adjusted EBIT margin. And when you see the year-to-date performance at 6.1%, then it shows as well the magnitude of the turnaround that we are operating in the Flexible Packaging with very good results as well, starting to come from our blueloop innovation that is very well received by customers. Fiber Packaging to end, where we see a continued net sales growth with a strong margin. The net sales growth is -- of comparable 4% is, however, unfortunately, affected by the South African avian flu during this quarter. So, it's a temporary setback in that part of the world, but otherwise both from a pricing and volume point of view, this -- the fiber segment and the fiber sales are growing well. And then, we are, at the same time, benefiting from our productivity actions as well as from the lower recycled paper cost, which means that our margins are now increasing significantly around 12%. So, 12% plus in the quarter, 12% slightly minus in year-to-date. And that -- those numbers have to be always remembered, despite the impact of the divestment of our profitable operations in Russia. With this, I hand over to Thomas for more details on the financials.
Thomas Geust: Thank you, Charles, and happy to take you through the financials, which, from a profit point of view, are strong, as Charles pointed out. As usual, I look at the results how we are performing versus net sales. And you can see if you compare the change year-to-date and the change for the quarter, we are down in the quarter 12% on sales, year-to-date 7%, but you can see the resilience in the profitability by being down only 1% in adjusted EBIT and, therefore, delivering a very strong margin of 9.7%. This is, as Charles said, supported by very much by the operating improvement we have been doing and then obviously also from the relatively better performance out of Flexibles. Those are the two key contributors to the profitability improvement. Other things to highlight on this page, before I go to tax, I take the financial expenses. Financial items trending at roughly €6 million per month currently, still including some one-time costs in there. My assumption is that a normalized level would be somewhere in the range of roughly €5.5 million going forward on a monthly basis. Then, the more exceptional thing on this page is tax, and we have, for that reason, decided to dedicate the right side of the slide to the tax item. And I want to start by highlighting that what we are flagging here is a pure IFRS accounting technical issue with no cash impact, at least no cash impact until potentially one day disposing assets, which we are not planning to do. So, from -- what we are looking at here is a revaluation of assets in a high devaluating environment like Turkey. The main part of the accounting treatment comes here from Turkey. So, you will see that due to revaluation of assets and accounting for them as DTL, we are booking a roughly €9.4 million tax impact into our IAC. And the reason for booking it in IAC is really that it is a pure accounting technical item that would not go through our equity, as I said, unless we take the decision to dispose the assets. I would also highlight that previous year in a similar devaluating environment, there were taken decisions in Turkey that allowed for an adjustment of this one in the local books and therefore no accounting treatment needed to be done. There is a possibility that similar adjustments will be applied either this year or going forward as well, and that would then have a reversing effect to that tax booking. So, the taxes, if you look at the reported taxes, look quite funny compared to what we are putting up as adjusted taxes. The adjusted tax rate is describing our operating performance, which is roughly 24% ETR, while then the reported is above 30%. So, a long description on accounting type of item, but important for you to understand the background of that one. The currency impact, as highlighted, has accelerated in Q3. You see on the left side, the average rates which are the ones we are using for accounting on the P&L side, the closing rates for the balance sheet, and you can see that all currencies are currently trending negative and -- except for the Brazilian real, which is slightly positive. So, with other words, currency headwind is continuing and as you saw that was one of the key contributors to the lower sales in the quarter. Happy to say that our deleveraging continues. That is mainly driven by our own activities and strong cash flow. So, you can see that we have deleveraged since year-end more than -- roughly €140 million, and that takes our net debt EBITDA to 2.3, and then a gearing, which is below 0.70. So, from a debt point of view, the trend is improving and that's obviously positive also when we think about financing maturities, which are coming up. So, here you see our financing structure currently. We have 2.4 years of average maturity. We have both bonds and term loans maturing in 2024. We strongly believe in -- that financing is available in the market, of course, at the elevated levels due to the current interest rate environment. Here, really one of the highlights of the quarter, but also of the year. You can see that the strongest improvement comes through working capital, which is, of course, partly an outcome of the improved supply chain. So, we don't need to carry the same amount of stock as we did previous year and, therefore, able to release quite some cash out of the working capital. CapEx, we continue our capital spend agenda, while then taxes and net financial items are trending slightly negative compared to previous year on the cash flow. Looking at the balance sheet positions or the financial positions, here we have the total assets being impacted by FX. Operating working capital, as indicated on the previous slide, coming down due to improved overall inventories. Then, the net debt, we covered already on the previous slide. And then the other things to highlight here would be the return on investments, which is, as I have highlighted so many times earlier, a lagging indicator currently, that's obviously carrying the burden of the lower volumes. And therefore, the asset returns are not on the level where they would be in a higher volume environment. And then the other thing is that we still are in early days of some of the fiber-related CapEx programs, which are then not yet giving returns. But we are working diligently to get towards the ambition of 13% to 15% returns, which you see on this page. And if we look at the other parameters here, our year-to-date EBIT margin is 9.1%. But as I highlighted, for the quarter, 9.7%. So, we are moving closer towards that 10% to 12% range on EBIT margin that we have set as an ambition for the company. On the dividend, the dividend payout second round was done in early October, so it's not yet in the net debt numbers of this quarter. Outlook and short-term risks remain unchanged. And with that one, I would close my part and open up for Q&A.
Kristian Tammela: So now it's time for some questions. Before we start, we ask you to please limit yourself to two questions per person. Thank you.
Operator: [Operator Instructions] The next question comes from Robin Santavirta from Carnegie. Please go ahead.
Robin Santavirta: Thank you very much. Good morning, everybody. The first question I have is related to volume performance. And the question is, can you share some more detailed information about what the group's year-on-year volume performance in Q3? Was it at the same level, mid-single-digit negative year-on-year as we saw in Q2 and Q1, or was it better? And related to that, what is the volume outlook for Q4 on a year-on-year basis? Is it better or the same or worse?
Charles Héaulmé: Thank you, Robin, for the question. So, on volume, and I will answer across geographies and categories. Basically, first point is the volume in Q3 is around mid-single digit negative. However, when -- to your next question, how does it compare to the first semester, the first two quarters, it is slightly better. So, it was -- it used to be a higher single-digit in the first semester. We see a slight improvement, but its early days. And then, to your last question about in terms of outlook, we do not see a significant change happening very short-term. We believe that consumption will -- and demand will restart in 2024. Timing is, of course, uncertain. So, we are still in a relatively uncertain market context.
Robin Santavirta: Thank you very much. The second question I have is related to the margin performance. You have a solid margin, a strong margin now in Q3. What should we expect for the rest of the year and perhaps start of next year? Should we expect more of the cost cutting or rationalization measures to come true and support the margin? What about then input cost and pricing dynamics? So, essentially the question is, should we expect the margin to remain at this level or start trending down for some reason in the next few quarters? Thanks.
Charles Héaulmé: So here, I would make it slightly longer because it -- there are many elements to it. So the first one is input costs. Input costs -- we see the raw materials and the other input costs going down. However, I need to be a bit more precise because it's not one-size-fits-all. It doesn't go all at the same speed and magnitude. So, raw materials are already going down relatively significantly in 2023, except paperboard. However, when we're talking about reduction of prices, there is a relatively important time lag between the time you have the commodities moving on the market and the time you see it on your cost of goods sold. I mean, that's obvious for reasons of lead times. So, we have started to see in Q3 some of the effects, but not all of the effects of the reduction of input costs. Then the other input costs than raw materials, we have freight and distribution costs that are relatively low this year compared to comparable period. So that helps already in Q3. And then you have the labor, which is inflationary. We're talking about a high single-digit for the year 2023 in terms of inflation of labor cost. Which brings me to the other aspect, which is what are we doing about it? So, we are having a pretty comprehensive and compelling activities in order to improve our productivity, and that has to do with, number one, labor. We are commenting on this since February 2023. We have taken many actions, and I'll give you just a single number not to overwhelm with the number of information, is, we have reduced our workforce by 7% year-to-date, 1,500 people in the organization. So you may say, well, is it visible in the margin? Yes, it starts to be visible in the margin, but obviously, there -- as well there is a lead time when you take actions on labor, on restructuring, on closing a few factories, as you know. Are we continuing to do it? Absolutely. We continue, and this is -- we want to be more and more productive in the company. That's about labor. Same goes with procurement. We have activities ongoing. Same goes with the main aspect of our cost, which is the raw material, how much waste do we have in the manufacturing processes? And we have an activity ongoing, which is a continuous improvement activity where we want to accelerate the harvesting of savings. So, all of this is going to obviously, number one, offset or mitigate the inflation; number two, support better margins. So, to your last question, how do we see the margins evolving? There is one more thing to consider versus previous years, it's the higher competitive pressure on pricing, obviously, in the market. But all in all, to answer your question, are we -- what are we seeing? Are we seeing margins decreasing or maintain or increasing? We do not intend to see our margins decreasing. It will -- it is our -- you know our long-term financial commitments and targets. We want to have activities supporting those targets long term, bridging towards those targets. I think the evolution of our margins in 2023 are showing that we are in the -- going in that direction. More to do, but indeed, all of this in the pipeline very actively.
Robin Santavirta: Thank you very much, Charles. Thanks.
Operator: The next question comes from Calle Loikkanen from Danske Bank. Please go ahead.
Calle Loikkanen: Yes, good morning, and thank you for taking my question. Overall, it sounds like you have been able to hold the prices -- the sales prices despite the raw material prices coming down. For how long do you think you can keep this up? I mean, when does the pressure from the customers start to become so big that you need to start lowering the prices?
Charles Héaulmé: Calle, good morning. Thanks for the question. The answer to that question is in twofold. So, yes, we are holding our prices, because as I said, when -- based on Robin's question, input costs are not all going down. However, we are making sure that we are competitive in the market at the same time. So, holding prices to remain -- to be not competitive would not make much sense. Now to your question, which is more important is, for how long? This question is very difficult to answer because it all depends on demand. We believe that the future is about -- a higher demand in 2023 is as expected. We all expected that this year would be very difficult in terms of volume because of the impact. Six to nine months after the inflation started, obviously, consumption has been eroded. This is not forever. The question is not if it's more, when is the recovery of demand going to happen. And when demand is up, then our competitive position is, of course, stronger in the value chain. So, I would link your question to Robin's question saying that it's our aim to maintain and further improve our margins.
Thomas Geust: Maybe one small addition to that one. Obviously, we have the adjustments coming through -- also through contract clauses. And in those, we already see effects, but still despite that one, you saw the outcome of the results.
Calle Loikkanen: Yeah. Okay, thank you. That's helpful. And then perhaps on the kind of overall demand in Q3, did the level of demand surprise you either positively or negatively in the quarter or was it going as you had expected?
Charles Héaulmé: I would say, frankly, that to your question, did it surprise us positively or negatively, it didn't surprise us positively. That's pretty obvious. First of all, because the -- even though I said it was slightly better in volume, we need to be always clear about the comparability. The comparability -- Q3 was already last year relatively soft. It was not a declining quarter, but it was a relatively soft quarter. Therefore, the comparability versus the previous quarters of 2022 was supposed to be easier in Q3. Therefore, we were -- if I have to choose in your question, I would say we were more negatively surprised by the volume than positively, however, with some very promising signs of a better outlook. Number one, from a demand point of view, with the example of Flexibles, for instance, where it looks -- the demand to us looks better than in the previous quarter. The second reason why we are -- we remain positive is that we have our capacity coming online in products which are demanded. I'm talking about the tableware in the U.S. I'm talking about the egg packaging, for instance, with the conversion in the U.S. from a foam packaging to fiber and -- slightly to plastic, but mainly to fiber with our capacity in South Africa with the demand of fiber lids. You were with us in Alf, you have seen yourself. This factory was at very low utilization in the first semester. It is now at full utilization because the demand of our products -- our innovation of fiber lids is very strong in the market, is now undersupplied. And so, we're talking about how do we get to higher -- potentially higher capacity, this is an analysis ongoing. So it's demand, but as well it's our capacity to supply the market with a new value accretive product as well.
Calle Loikkanen: All right. That's very clear. And I agree that the Alf site was quite good. All right, that's all for me. Thank you very much.
Operator: The next question comes from Maria Wikstrom from SEB. Please go ahead.
Maria Wikstrom: Yes. I mean, thank you for taking my questions. I also had, I mean, some related to raw materials, but I think you've very nicely explained that already. So, let's get to the -- still on the demand side, I think, because in the report, you say that in -- during the Q3, you already saw signs of a demand improvement in some categories and some geographies. So, if you could specify a bit at what categories and geographies we are talking about?
Charles Héaulmé: Yes, good morning Maria. So, by categories, I would say, first of all, in Flexibles overall, even though in our main geographies, the [indiscernible] flexibles in our main geographies being India and Europe, the demand remains still soft, but slightly better than in the previous quarter. So, it's difficult to be too positive on this, but it's all about being relative to where we're coming from in quarter one and quarter one. So Flexible is one first sign of improvement. Then we have some other categories where -- so Fiber for instance, fiber for egg packaging, but fiber as well for the smooth molded fiber with our fiber lids, and you've seen it as well this -- there the demand is very strong. We are, I think, in full utilization since the -- towards the end of Q3. So you're going to see more and more the impact into our numbers. And then, Foodservice in the U.S. is as well strong -- showing strong demand. Where -- if I take the other side, where is the demand still pending, it's -- so I missed saying demand is good as well in Southeast Asia -- Flexible Southeast Asia, we're growing nicely and demand is good. Where the demand is much lower than our expectations and remains basically as per first semester is on the consumer goods packaging in the U.S., so, ice cream, and that's all linked to the downtrading. India, Flexible Packaging remains difficult. And then Foodservice Asia, which is linked to demand, but as well a competitive landscape, I would say, particularly in China and Southeast Asia. For Foodservice, the -- after COVID is uncomparable to the before COVID unfortunately, on the Foodservice, and that's something we are analyzing precisely to decide or adapt our strategy in that region.
Maria Wikstrom: Okay, thank you. And then my second question will come on the Foodservice and the -- you saw the organic sales decline of -- was it 3% in Q3?. And I mean, here, just -- I mean is there any indication of some of these fast-food chains focusing now more on this reusable table where -- rather than, I mean, more the -- I mean your products, or is this just the overall consumer weakness that we currently see on this comparable sales trend?
Charles Héaulmé: On the Foodservice, so the decline -- the organic decline, indeed 3% is partly linked to pricing. Let's remember that pricing was very high in 2022. And to one of the previous questions about pricing, there is pricing pressure. So, it's not like -- I think it was Calle asking about the -- are we holding on pricing? Yes, in average, but there are certain areas where we have been obliged to consider pricing in tendering process. So, pricing is part of it. Now to your question precisely on the reusable, the reusable do not have a significant impact in the market. They are in trials -- in mandatory trials, I would say, in France and Germany because of local legislation, so the legislation being in France the most drastic because it says that it must be with reusable container in all restaurants, except for very small places. And then, in Germany, it's not an obligation, but the obligation in Germany is to offer the alternative. So, then more interesting for you would be to give you the outcome or the learning from the biggest brand in the market that is testing those different reusable systems. And you can read -- this is public information. You can read what they have published about it. If I put it into a simple summary, it does not work according to what authorities and regulators were planning probably in their assumptions. It does not work because the return of reusable packaging is extremely low compared to the plan, extremely low. I'll give you one example that is coming from -- so its public information, coming from McDonald's. They were saying that, in Germany, for instance, the reusable packaging goes with a €2 deposit on each single container item. So, if you take a burger and a cup of soda, then you have to pay two times €2 for the deposit. It's actually only 30% that is coming back, meaning that even with the deposit system, consumers don't return the packaging. So basically, the system doesn't work. It doesn't work secondly, because it's much higher cost for the QSR, so the quick-service restaurant. Much more expensive. There is investment linked to it. And these packaging are very expensive. Since they are not returned into a high turnover, it's much more expensive, but we're talking about payer restaurants hundreds of euro per year. Because of that, what happens, well, in the end, consumer is going to pay the bill. And that is all the statistics so far. The experience are showing that this system is not working. Last, and then I close my long answer. Last point is from an environmental point of view, I want to repeat, it does not work. The equation is not correct. It's more -- it's 3 times more carbon emissions, and it's 3 times -- 3.5 times more water consumption. So, all the actors that are making real-life -- not theoretical, real-life experience with it know that it does not work. But to your simple question, which is, is it visible in the numbers, not really.
Maria Wikstrom: Okay. Thank you very much. I'll go back to the queue.
Operator: The next question comes from Pallav Mittal from Barclays. Please go ahead.
Pallav Mittal: Thank you. Good morning. Pallav Mittal from Barclays. You have already spoken about some weakness in India. Can you also talk about the weakness specifically in China operations? And what do you expect going into Q4 and for next year?
Charles Héaulmé: So, good morning. The -- so I'll start with China maybe. Yes, it's very -- two different -- very different situations within the two countries, even though both have been extremely disrupted since the COVID pandemic. In China, we see not only from a consumption point of view, a different situation and level of consumption after COVID, but as well the actors of the value chain are very much adapted to a strategy, which is less -- it's a bit like this -- less beneficial to foreign actors like us. There is much more trend in the value chain of China for China, and therefore, it's extremely difficult to compete in China. And basically, that explains my comment when I was presenting the Foodservice numbers, why our Foodservice numbers are particularly affected in terms of demand from -- in Asia. So, in terms of outlook, we are looking into the game, how to regain market share, is it feasible and accordingly take the measures that will make us adapt to it so that we are sized accurately for the demand and as well profitable. Second, on India. So here, it's Flexible Packaging. It's not Foodservice. For us, in India, the market is highly disrupted. There has been a lot of downtrading by the consumers. The big question in India is not about growth for the future. We are convinced that India is one of these growth market for the future. The question is, for how long this downtrading, which, of course, is negative to big brands and negative to us as we are particularly working with the global brands in India. That's really the main aspect. However, on India, the Indian -- our Indian results were presented yesterday and very strongly received -- positively, strongly received by the market. We are still seeing in Q3 lower sales than last year, however, much better situation than in Q2 of this year, significantly better, both in terms of sales, but as well even more significantly in terms of profitability. So, our turnaround plan is, if I may say, day one in the long-term plan, but starting to show already some impact with high margin improvement as well as strong cash flow.
Pallav Mittal: Thank you. My next question, you have already spoken about most of the raw materials declining, except paperboard. Do you have any sort of visibility on paperboard costs going into FY '24, because I think your contracts are longer term? So, do you see any price revision happening towards the start of next year?
Charles Héaulmé: Yes. I mean, by -- I think you gave the answer in your question. By definition, since we have more long-term contract, at least annual contract on paperboard, which is not the case on the other commodities, then there will be a price erosion and the price benefit most likely in 2024. That's what we expect and that's what we are working on.
Pallav Mittal: Thank you.
Operator: The next question comes from Cole Hathorn from Jefferies. Please go ahead.
Cole Hathorn: Good morning. Thanks for taking the question. I'd just like a bit of a follow-up on some of the turnaround in the Flexible Packaging business around Turkey and Egypt. If there's anything that you can call out there of what the business is doing to improve performance, is the first one. And then, the second one is on the positive working capital and the free cash flow generation for the quarter. How do you see that working capital going through for the rest of the year and into 2024? Thank you.
Charles Héaulmé: Thank you. Good morning. So maybe I'll let -- because otherwise I'm the only one to speak, I'll let you, Thomas, answer on free cash flow and working capital in the second stage. But first, quickly on the -- on your question on the turnaround in Flexibles, I think you specify specific -- particularly Egypt and Turkey, but let me maybe give a global picture. So, the -- because the turnaround in Flexible is over our entire segment. And this turnaround has different streams. Number one is innovation for being the sustainability leader on the long run. And this innovation has to do with the launch of our solutions for mono-material recyclable structures both for paper application, polyethylene and polypropylene. So, we have launched this in April. This is gaining tractions, first wins in the market. It will show results definitely in 2024 and even more in 2025, particularly because the global brands have all pledged to have an entire portfolio of recyclable packaging being recyclable by 2025. So the time is counted obviously. And our solutions, which are across all our portfolio of Flexible Packaging, is coming extremely timely. So we're very positive about it. And that's for us, value-accretive. So that's the first stream. The second stream is cost in order to turn around Flexible Packaging and improve our profitability. The profitability will be supported first by growth, obviously, from what I just explained, from growth on the market demand that will recover in '24, '25, but as well costs -- and we are taking a lot of actions. When I mentioned earlier about our headcount reduction, our workforce adaptation and the manufacturing footprint adaptation is the main contributor. It's not the only. It's across the globe and across categories, but the main contributor is our Flexible segment to it. So, we will see, therefore, margin improvement as well from the Flexible segment going forward. Then not forgetting your question about Egypt and Turkey, which is, if you recall what Thomas was explaining, particularly, for instance, on the tax situation in Turkey. Turkey and Egypt are two markets which are very promising. I mean we're talking about altogether 200 million people, consumers growing. Its two economies which are not only large, but as well promising in terms of growth, but as well very competitive towards producing, for instance, and exporting towards Africa and Europe. So, the value -- the strength of those two markets of being there remains the same. But the disruption short-term linked particularly to the political situation, macroeconomic and particularly currency is cumbersome, that I will not hide, and it has some relatively high impact. When we talked about the currency impact on our sales and profit for the quarter, a sizable part comes from Turkey, actually. Thomas, do you want to take the question on cash flow?
Thomas Geust: Yes, I can take that one. Still, I would say that remember the -- on both Egypt and Turkey, really the key things is volume, as Charles said. The other part is that we had in the early part of the year impact from also the devalued currency in Egypt. So, the trend is already from that point of view better currently. So, the profitability trend is improving despite the volumes being lower. On cash flow, I would start with a bit of history on the impact of the environment. So, if you look on the last years, we have had very strong cash flow years, and we have had very weak cash flow years. And that comes in a way, partly already by the environment we have been going through, high inflation impacting cash flow negatively combined with -- and when you combine that with strong growth on top of that, you get a double effect on the cash flow. This year, lower volumes helps on it -- the other parties, the destocking we are going through. So we get a bit of a rebound effect there. With that said, I would say that a key contributor is the way we have been managing the cash all in all. So, we are having more transparency than we used to have into our inventory, what kind of products and where do we have them, and that helps us in managing the cash going forward. So my point with this one for the forward-looking side is that some of the external market environments we can never influence, they will be there. When you start growing, you have those effects in. But what we can manage is the way we are diligently monitoring our own trade receivables, managing the contracts with -- on the payable side, and then at the end, understanding what and when we should have stuff in our inventory. So, not a very concrete reply when it comes to the forward look, if you look for saying that we will be generating more or less cash. Our ambition is to continue the deleveraging even with the CapEx ambition we have in here. So, anything in a annualized net debt increase should come more from if and when we would be doing any inorganic actions.
Cole Hathorn: That was very helpful. Thank you. Maybe just one follow-up. I'm wondering if you can give any color on the destocking? I know you said it's effectively faded. But I'm just wondering if any of the purchasing managers or procurement managers from the various companies are starting to think about macro uncertainty and wanting to make sure that they've got the right level of stock? So, do we think that we might go the opposite way and destocking effectively fade? It's quite a difficult question to answer.
Charles Héaulmé: Yes. I'll be frank, we don't know. So number one, we know that destocking -- and that's why we are not talking about it, destocking is not a factor to justify or explain the volume softness in the third quarter. Even though we know that we had some customers in specific countries, mostly emerging markets, which had one year of stock, but it's not significant at group level. So that's why we don't even speak about it. So, not relevant for Q3. Now about going forward, whether there would be a restocking, I would not count that the volume growth will come from that. And if it would, then I don't think this would be helpful because it's -- what we want is structural growth of the market and of the demand so that we can have the right capacity utilization and be permanently more efficient. Having up and downs from destocking and restocking, it's really cumbersome in the manufacturing environment. But to your previous question about the turnaround of Flexibles, as Thomas was speaking, I was just receiving a report from IMF we just -- which was just issued this morning, saying that India -- so this is very, how should I say, relevant for Flexible Packaging and because it's about 8% of our company, India. India is seen by IMF as the growth market for the future, representing 18% of the world growth in -- by 2028. Okay, its long term, but we are here for the long term, and that is very promising. That's why we are positive about our historic investment in India and being competitive and working with the global brands in India.
Cole Hathorn: Great. Thank you.
Operator: The next question comes from Pasi Vaisanen from Nordea. Please go ahead.
Pasi Vaisanen: Great. Thanks, and good morning. This is Pasi from Nordea. Yes, you highlighted that the in-demand actually should improve in next year and maybe that could lead to a kind of underlying volume growth for Huhtamaki, regardless, we don't actually know yet the timing exactly on next year. So, would it be a kind of a relevant assumption that you are definitely going to improve in next year when looking at the kind of the net sales and operating profit margin, especially taking into account the efficiency improvements we have seen currently? So, how do you see the possible outcome in next year? That's my question.
Thomas Geust: So next year, given that the market has been significantly disrupted, I would assume that versus that low point, we will see a improving trend in 2024. We don't believe that all the headwind factors will be out of the market. So, there will be disruptions here and there. But all in all versus the quite negative 2023, I would look more positively on 2024 on average.
Pasi Vaisanen: Yeah, thanks. I hear you. I fully agree about that -- this one. That's all from my side. Thanks.
Kristian Tammela: All right. Thank you for your interest. We have run out of time. But if you still have some questions, please feel free to reach out to us. And with that, we wish you a wonderful day. Thank you.
Charles Héaulmé: Thank you.